Operator: Good afternoon, ladies and gentlemen, and welcome to Avid Technology's Fourth Quarter and Full Year 2021 Earnings Call. [Operator Instructions] Now, let me turn the call over to our host for today's call, Whit Rappole, VP of Investor Relations at Avid. Please go ahead.
Whit Rappole: Thank you, operator. Good afternoon, everyone, and thank you for joining us today for Avid Technology's fourth quarter and full year 2021 earnings call for the period ending December 31, 2021. My name is Whit Rappole, Avid's Vice President for Corporate Development and Investor Relations. With me this afternoon are Jeff Rosica, our Chief Executive Officer and President; and Ken Gayron, our Chief Financial Officer and EVP. In their prepared remarks, Jeff will provide an overview of the business and then Ken will provide a detailed review of our financial and operating results, followed by time for your questions. We issued our earnings release earlier this afternoon and we have prepared a slide presentation that we will refer to on this call. The press release and presentation are currently available on our website at ir.avid.com and a replay of this call will be available on our website for a limited time. During today's call, management will reference certain non-GAAP financial metrics and operational metrics. In accordance with Regulation G, both the appendix to our earnings release today and our investor website contain a reconciliation of the most closely associated GAAP financial information to the non-GAAP measures and also definitions for the operational metrics used on this call and in the presentation. Unless otherwise noted, all figures noted by management during the call are non-GAAP figures except for revenue, which is always GAAP. In addition, certain statements made during today's presentation contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our comments and answers to your questions on this call as well as the accompanying slide deck may include statements that are forward-looking and that pertain to future results or outcomes. Actual future results or occurrences may differ materially from these forward-looking statements. For more information, including a discussion of some of the key risks and uncertainties associated with these forward-looking statements, please see our press release issued today in our most recent annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. With that, let me turn the call over to our CEO and President, Jeff Rosica, for his remarks.
Jeff Rosica: Thanks, Whit, and thank you for joining us to review Avid's fourth quarter and full year 2021 results. I'm delighted to report that we ended 2021 with strong fourth quarter performance and good momentum heading into 2022. During the fourth quarter, we continued to exceed our expectations for adoption of subscription solutions by our enterprise customers, and we continued to see solid growth in subscriptions for our creative tools. This strengthened our subscription business, combined with the growing storage and audio integrated solutions revenue and stable maintenance revenue allowed us to deliver continued improvement in profitability and strong free cash flow. Due to our strong Q4 performance, we beat our 2021 guidance for both subscription and maintenance revenue and total revenue and delivered non-GAAP EPS towards the high end of guidance, which I believe shows that our strategy is clearly working and will continue to provide benefits as we move into 2022. Let me now share some of the details with you. During the fourth quarter, the three key takeaways of our business performance were the following. First, we had a very strong subscription quarter with accelerating enterprise subscription, which exceeded our expectations, along with continued steady and robust new subscriber additions for creative tools. Next, the healthy demand for our solutions by new and existing customers, combined with our good overall execution, sustained our overall revenue growth trend. And finally, the strong revenue performance, combined with our continued focus on the business fundamentals and profitability resulted in very healthy EBITDA margin, net income and free cash flow. Overall, the strength in our subscription business, combined with the growing sales of storage and audio integrated solutions and stable maintenance revenue enabled us to end 2021 with strong Q4 performance and good momentum heading into 2022. Now, let me dig in a bit more and provide some specifics on each of these three areas. We delivered a great quarter again for enterprise subscriptions, which is now driving the second leg of growth for our overall subscription business. It continued to exceed our expectations, increasing our confidence that our enterprise customer base is ready to make the move to subscription and motivating us to make several additional products available as subscription during 2022, ahead of our initial plans. Q4 was also another solid quarter for creative tools subscription growth with steady net subscriber adds as we continue to enhance the products, refine our go-to-market tactics and improve our customer experience capabilities. Overall, our net increase in subscription count accelerated in the quarter to over 21,700, with growth in all our product lines, including a healthy contribution from both Media Composer Enterprise and MediaCentral Flex based on the delivery of some key customer requested enhancements. As one customer example, NBCUniversal began their migration to subscription for both Media Composer and MediaCentral, which among other things, were used in their productions of the recent Winter Olympics and Super Bowl 56. This was just one example for many customers' successes around the globe in the fourth quarter. We do look forward to sharing details about additional customers as we're able to. During the fourth quarter, we delivered $119.1 million in revenue and 14.2% year-over-year growth, continuing the trend with our fourth consecutive quarter of revenue growth. Overall, customer demand was healthy as the recovery of our end markets across all geographies strengthened, benefiting all business areas and product segments. We realized steady performance from maintenance with improved renewal rates for both software and integrated solutions maintenance and to benefit from the price increases that we implemented earlier in 2021. We experienced very healthy demand for integrated solutions, including our best quarterly storage revenue since 2019. Demand for our audio integrated solutions was also strong, including control services, audio I/O and live sound consoles. However, along with many organizations around the world, we have had to contend with global supply chain challenges. Our team has done a good job navigating the situation in Q4, and we were thus able to meet our plan for integrated solutions in the quarter while protecting and optimizing our gross margins by implementing certain proactive price increases late in 2021. We will remain diligent looking forward, as the global supply chain is expected to continue to be challenging in the near term, but I have confidence as our team has shown to be quite effective at managing the situation to this point. During the fourth quarter, strong revenue performance, combined with our continued focus on expense controls, resulted in very healthy margins, improved profitability and strong free cash flow. The growth of our higher-margin software and maintenance business and the improved integrated solutions gross margins and volumes helped to drive an increase in overall gross margin. As a result of our year-end performance and the strong overall performance of our commercial teams, we did spend more on sales commissions and had additional bonus accrual in the quarter. But at the same time, we still expanded our profitability while also increasing our investments in technology and product innovation to drive future growth. Overall, we had a strong adjusted EBITDA margin of 21% in the fourth quarter and a very strong conversion of free cash flow, yielding $25 million in free cash flow in Q4. Now, let's quickly look at the highlights from fiscal year 2021. We generated strong total revenue growth of 13.7%, with contributions from all our business and product areas and across all geographies. Subscription continues to be the main driver of growth and we surpassed $100 million in subscription revenue for the year and we are now at over, I should say, about 411,000 paid subscriptions, both of which are key strategic metrics that exceed our expectations set at the beginning of the year. Enterprises continue to demonstrate their interest in adopting our subscription offerings with 40 new enterprise subscription agreements in 2021, bringing the total at year-end to over 50. But we've still only transitioned to a small fraction of our overall enterprise customer base to subscription with less than 10% transition so far, and we expect to be successful in bringing on many more enterprise subscription customers during 2022 and beyond. We released several important features and updates to our products during the year. We delivered MediaCentral updates to fulfill several large customer commitments and new products such as MediaCentral Sync for media and metadata backup and MediaCentral Stream to enable ingest from IP-based sources. And in support of our openness, we delivered the ability to work more closely with Adobe, including Photoshop and After Effects on our MediaCentral platform. For creative tool users, we delivered several important updates to Pro Tools and Media Composer addressing shifting market requirements. For next-generation music notation users, we launched Sibelius for Mobile during the third quarter, resulting in new users around the world using Sibelius directly from their iOS mobile devices. With the market dynamics our customers have experienced this past year, our priority was to shift and support their changing technology requirements. The need for more remote production capabilities and cloud-based workflows became our focus with new technology innovations such as Avid's Edit On Demand SaaS-based post-production solution. And we have many more exciting innovations planned in 2022 that we believe will resonate with the market and our customers. While we continue our trend of improving business fundamentals, we are making necessary investments to support future growth. We increased our R&D investment during the year to support our innovation road map. In 2021, we began our digital transformation journey, starting to update many of our internal systems to enable us to support our business into the future. We saw the first benefits of the digital transformation investments in our customer experience area with improved support for customer engagement, which is an important element of our subscription strategy. We did all this while delivering an improved bottom line performance with $1.25 in non-GAAP EPS and we generated $55.7 million in free cash flow, a year-over-year increase of 64.4% and our highest free cash flow since 2007. As a result, we initiated a share repurchase program in September to return a portion of our free cash flow to our investors. Given the confidence that we have in our strategy and long-term plan, we believe that the share buybacks are a good use of capital at the recent crisis. During 2021, we repurchased $25.1 million worth of these shares. Now, let's talk about where we see things going forward from a business perspective. As we look to Q1 2022 and fiscal year 2022, we expect continued healthy end market demand driven by growing consumer requirements for high-quality audio and video content, creating additional demand for Avid's unique technology solutions. We've been increasing our investment in product innovation and we are planning to launch additional innovative subscription and cloud-based offerings to tap additional growth opportunities. We launched NEXIS EDGE during the first week in February, a new software subscription solution for remote collaboration for TV and film post-production teams and have seen promising initial market reaction to this innovative solution. We will also be offering NEXIS Storage as a subscription later in 2022, separating the value of the storage management software from the base storage appliance, along with news production graphics as a subscription, just to name a few. We expect to continue the sustained growth in our subscription business based on the success we've seen to date with both enterprises and creative individuals. We expect that many more of our current enterprise customers as well as new enterprise customers will be interested in adopting our subscription offerings. And as we mentioned previously, we're planning to expand our enterprise subscription offerings to support this growth across 2022. We also expect that our creative tools will continue their growth. To further optimize this part of our subscription business, we're currently investigating new pricing and product tiers for our creative tools as we look to expand our market opportunities and deliver more solutions for attracting more next-generation music creators. Expect more news on this front in the coming few months. We will continue our discipline in our execution and our spending while we continue to increase certain investments to support needed innovation, new product development and our digital transformation initiative. We have an experienced team that is addressing the supply chain challenges to ensure that we can meet our targets for the year. And we are doing these things while looking to continue expanding our gross margin and adjusted EBITDA margin. In closing, we expect continued strong margins, profitability and free cash flow conversion. We will continue our emphasis on execution and a focus on operational improvements while already factoring our best estimates of the potential impacts of supply chain constraints into our planning for 2022. With that, let me now turn the call over to Ken to review more of the financial details. Take it away, Ken?
Ken Gayron: Thank you, Jeff, and good afternoon, everyone. Overall, we are very pleased with our business and financial results as we exit 2021. We closed the year with a strong fourth quarter with revenue performance ahead of expectations. We made substantial progress in driving our higher margin subscription and maintenance revenue during the fourth quarter. This growth, combined with improving integrated solutions gross margin, enabled us to deliver strong profitability and free cash flow in the fourth quarter and positions us well as we enter 2022. Our focus for 2022 will be to build our high margin subscription revenue and continue to stay on track with our long-term model. With that, let's now turn to the details of our financial results. We were encouraged by the continued growth of our paid subscription base as we had 21,700 net additions in the fourth quarter, an acceleration from the prior quarters. Creative subscription growth was healthy and solid and enterprise subscription performance in the fourth quarter continued to exceed our expectations. Our total cloud-based software subscription count reached approximately 410,600 at the end of the fourth quarter, an increase of 28.3% year-over-year. Subscriptions for our creative tools increased by approximately 17,700 during the fourth quarter. Subscription growth was strong for all creative tools with an average year-over-year growth of 24.5% across our suite of tools. MediaCentral subscriptions grew to approximately 13,200, an increase of about 4,000 during the fourth quarter. We continue to be very pleased with the market acceptance of the MediaCentral subscriptions. We believe we have converted about 5% to 10% of the existing MediaCentral perpetual customers to subscription during the first year of availability. Now, moving to the composition of our revenues. The continued growth in the number of paid subscriptions drove continued growth in subscription revenue during the fourth quarter, which reached $34.1 million, an increase of 38.8% year-over-year. And we continue to see an increase in our per seat revenue as the enterprise subscriptions have simply higher per seat pricing than the creative tools. For the full year, subscription revenue was $108.4 million, up 48.9% year-over-year. Maintenance continues to be a strong part of the business. And during the fourth quarter, we saw increased renewal rates and benefits from the maintenance price increases we implemented earlier in 2021 as part of the strategy to encourage subscription conversion. Maintenance revenue was $31.4 million during the fourth quarter, up 1.4% year-over-year. For the full year, maintenance revenue was $122.4 million, down 1.4% year-over-year and was steady throughout the year at roughly $31 million in each of the quarters for 2021. Total subscription and maintenance revenue increased year-over-year by 17.9% in the fourth quarter and by 17.2% in the full year 2021. Combined subscription and maintenance revenue came in above our guidance for the full year and we are tracking favorably to our long-term model. Perpetual license revenue was $5.2 million, a decrease of 22.3% year-over-year in the fourth quarter and a decrease of 14.6% for the full year 2021 as we continue to deemphasize perpetual licenses and focus on strategic subscription revenue. Even with the decline in perpetual revenue, total software revenue from subscription and perpetual licenses increased year-over-year by 25.7% in the fourth quarter and by 31.3% in 2021 as the subscription revenue growth exceeded the perpetual revenue decline. Total combined integrated solutions, perpetual and professional services revenue was $53.6 million in the fourth quarter, up 9.9% year-over-year and $179.1 million in the full year 2021, up 9.6% year-over-year. Starting with the fourth quarter of 2021, we have changed the presentation of our revenue on our 10-K income statement to separate these revenue types from subscription and maintenance revenue. Our integrated solutions business remained healthy with integrated solutions revenue up -- of $42.4 million in the fourth quarter, an increase of 17.9% year-over-year and 35.9% sequentially. The year-over-year growth was driven by solid performance in control services, live sound consoles and storage. Audio control services revenue increased nicely year-over-year as many large studios continue to add new capacity. Live sound product revenue was up year-over-year as well due to the improving demand as many venues and concerts have opened. Revenue from our storage products was also up slightly year-over-year and was our best quarter for storage revenue since 2019. Integrated solutions revenue for full year 2021 was $131.1 million, an increase of 16.1% year-over-year. The balance of our revenue comes from our professional and learning services businesses. Professional services revenue was $6 million, a decrease of 1.9% year-over-year in the fourth quarter, but an increase of 6.7% for the full year 2021. Now, moving to recurring revenue and annual contract value. Our strategy in recent years to focus on recurring revenue sources continues to pay off and it is driving improved gross margins and greater predictability in our business. As of the fourth quarter, LTM recurring revenue was 78% of total revenue, up from 74% a year ago. The LTM recurring revenue percentage increased due to the strong subscription revenue growth and higher revenue from our long-term agreements in 2021 compared to 2020. Annual contract value was $352.1 million at the end of the fourth quarter, up 17% year-over-year. ACV benefited from strong year-over-year growth in subscription revenue, stable maintenance revenue and a greater contribution from strategic purchase agreements with our channel partners. Now, let's look at the rest of our results for the fourth quarter and full year 2021. Total revenue in the fourth quarter was $119.1 million, up 14.2% year-over-year and full year 2021 revenue was $409.9 million, an increase of 13.7% year-over-year and above the high end of our guidance. At constant currency, our fourth quarter 2020 revenue increased 14% year-over-year. Non-GAAP gross margin was 66.2% for the fourth quarter, up 310 basis points year-over-year. Our high margin subscription business made up of a larger share of revenue in the year and integrated solutions gross margin increased sharply year-over-year, resulting in improving gross margin. Non-GAAP gross margin was 65.3% for the year, up 160 basis points compared to 2020, benefiting from the same trends as were experienced in the fourth quarter. Non-GAAP operating expenses were $55.8 million in the fourth quarter, a $9.4 million increase year-over-year due primarily to sales commissions and bonus accrual from the stronger revenue performance. Non-GAAP operating expenses were $200.4 million for the full year 2021, a $20.9 million increase year-over-year from 2020 levels, which reflected temporary cost-saving efforts, including furloughs put in place at the beginning of the pandemic. Non-GAAP operating expenses were 48.9% of revenue in 2021, down from 49.8% of revenue in 2020. Non-GAAP operating expenses are coming down as a percentage of revenue over time, which helps drive our adjusted EBITDA margin. Adjusted EBITDA was $25 million in the fourth quarter, up 15.3% or $3.3 million year-over-year. Adjusted EBITDA margin was 21% in the fourth quarter, an improvement of 30 basis points compared to the prior year period. For the full year 2021, adjusted EBITDA was $75.5 million, up 28.7%, driven by the improvement in both revenue and non-GAAP gross margin. Adjusted EBITDA margin was strong at 18.4% for the full year 2021, an improvement of 210 basis points over 2020. Non-GAAP earnings per share was $0.46 for the fourth quarter, up $0.13 year-over-year, reflecting the increase in operating income. Non-GAAP earnings per share was $1.25 for the year, up 92.3% and towards the high end of our annual guidance, reflecting the improved operating income and lower interest expense during the full year 2021. Now, let's turn to free cash flow and leverage. Avid has now delivered five consecutive years of improved free cash flow and significant improvement in the conversion of adjusted EBITDA to free cash flow. Our strategy of investing in innovation to drive higher quality recurring revenue, together with effective cost controls and reduced interest expense, continued the trend of growing free cash flow. Free cash flow was $25 million in the quarter, down $5.6 million year-over-year due to a smaller contribution from working capital compared to the fourth quarter of 2020. For the full year 2021, free cash flow was $55.7 million, an increase of 64.4% year-over-year due to improved non-GAAP operating income and lower non-GAAP interest expense. Free cash flow conversion from adjusted EBITDA reached 73.8% in 2021, up from 57.8% in 2020. We believe Avid is well positioned to drive further improvement in free cash flow due to the continued movement in our business to more predictable and higher margin recurring revenue streams and more effective management of our business. Our strong free cash flow and growth in adjusted EBITDA resulted in net leverage of 1.5x at the end of the fourth quarter, down from 2.2x at the end of 2020. As a result of the significant improvement in our leverage and our strong free cash flow generation, we were able to amend our credit facility last week to reduce our interest rate by 25 basis points and improve certain other terms of the credit agreement. Overall, we are pleased with the health of our balance sheet as the reductions to our long-term debt and net leverage provide the Company more flexibility to operate and grow its business and to explore capital allocation alternatives to drive long-term shareholder value. During the fourth quarter, we repurchased approximately 462,000 shares for $13.9 million. And through February 28, we have repurchased a total of 1.2 million shares for $35 million under the $115 million authorization announced in September 2021. We believe that repurchasing our shares at these prices is a good use of capital to enhance shareholder returns given the confidence we have in our long-term business model. We will continue to deploy our free cash flow responsibly and we will look at strategic tuck-in acquisitions as well as share repurchase as ways to drive long-term shareholder value. Let's now turn to guidance. As Jeff said, we are confident in the underlying strength in our business as we enter 2022. We expect continued growth in our subscription revenue from expected strong performance in our enterprise subscription business, solid performance from our creative tools and contribution from new subscription product introductions. In addition, we expect continued healthy performance in integrated solutions revenue. For the first quarter of 2022, our total revenue guidance is $100 million to $106 million, a range which represents year-over-year revenue growth of 9% at the midpoint. Our guidance for first quarter 2022 subscription and maintenance revenue is $60 million to $64 million. Our guidance for first quarter 2022 non-GAAP EPS is $0.30 to $0.38, assuming 46 million shares outstanding. Our guidance for first quarter 2022 adjusted EBITDA is $18.5 million to $22.5 million. At this time, we are also providing guidance for the full year 2022. Our guidance for 2022 total revenue is $430 million to $450 million. Our guidance for 2022 subscription and maintenance revenue is $266 million to $274 million, a range which represents year-over-year growth of 17% at the midpoint. Our guidance for 2022 non-GAAP EPS is $1.40 to $1.51, assuming 46.2 million shares outstanding. Our guidance for 2022 adjusted EBITDA is $84 million to $94 million. And our guidance for 2022 free cash flow is $60 million to $67 million, which includes an increase of roughly $10 million in capital expenditures to support our digital transformation efforts, which will help us scale our subscription business. With that, I'd like to turn the call back to Whit.
Whit Rappole: Thank you, Ken. Thank you, Jeff. That concludes our prepared remarks and we are now happy to take your questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] We'll take our first question from Josh Nichols with B. Riley.
Josh Nichols: Great to see such strong execution in the fourth quarter and throughout 2021. I'm curious you talked about some new investments that the Company is going to be making to further move along this growth path and SaaS subscription adoption trajectory. Could you highlight like one or two of what you think kind of the bigger opportunities are on that front for '22? Is it going to be moving storage more towards a subscription model? And is that where most of that $10 million of additional CapEx is going to be going towards?
Jeff Rosica: Josh, so, a couple things. One is a lot of the CapEx is going through our -- towards our digital transformation, which is really enabling the technology upgrades that we're doing in back office and front office tools and platforms that we use to support our e-commerce subscription and cloud businesses. And so a lot of that is really a lot of upgrading of technology and upgraded capabilities to be able to support all the plans around subscription and cloud-based or SaaS-based offerings. So, it goes across all products. The R&D investments that we're making this year, we are increasing our R&D investment, too, is around a number of areas. In subscription, you mentioned storage, and I mentioned it in my opening remarks, we are bringing a new offering. We have a new offering planned for 2022 around subscription where we're going to bifurcate the value of -- the real software value of our storage solution from the commodity off-the-shelf hardware. And so we'll be bringing that offering as a subscription. But we're also launching a teams offering. We've done creative individuals and we've done large enterprises. We also have a mid-market product called teams that's coming out in 2022. And I mentioned graphics and servers and other areas. So, we have a number of areas that we're both leaning into growth on continuing to really drive even better growth on enterprise subscription offering business. And we're also doing a bid market product around teams, those are a couple of the big areas. But the digital transformation investment is meant to support all of our growth plans not just for this year but over the next several years as a part of our strategy, remember, we laid out back in May of last year.
Josh Nichols: I mean I'm looking at the gross margin the Company did. This is about as good at least as I could remember over the last several years. Could you talk a little bit more about, like, I guess, how should we think about the expectations going forward for the gross margin line coming off such a strong finish to 2021?
Jeff Rosica: I'll let Ken answer that to the margin. One thing I could have said to around DTI is it's not just about enabling our business models, Josh, we're also -- Ken and I are very focused on how we continue to drive operational efficiency of the Company. And so it will not exactly -- will do some help this year. But over the next few years, it will continue to contribute towards improvements in our efficiencies in terms of margins as a company. But Ken, do you want to maybe --.
Ken Gayron: Yes. So Josh, in terms of the gross margins, the Company strategy that we've set out for the past three years has been to drive our recurring revenue, our subscription revenue. And you're seeing the improvement in our recurring revenue percentage and our subscription revenue as a percentage of the business. Our margins were up substantially this past quarter and year-on-year. As we continue to drive the innovation that Jeff mentioned in terms of new subscription products, we continue to drive our MediaCentral business and our solid creative tools, we will continue to have gross margin improvements. That's what we expect in our 2022 numbers as well as our long-term model. And right now, we're tracking ahead of certain of those areas, including the subscription revenue and ride a line in terms of our gross margins. So, the Company's historical performance in terms of substantially increasing gross margins year-over-year, we expect that to continue in our long-term model and we're very confident in that outlook.
Josh Nichols: And then last question for me. Just thinking about the model, I mean, a bump in the sales and marketing expense, I assume that was for some of the bonus payments. Like what was the dollar amount for that payment? And then thinking about if you just have a high-level target for R&D since you're going to be investing a little bit more in terms of sales or anything like that for '22?
Ken Gayron: Yes. So, in terms of the sales and marketing and bonuses, the operating expenses were $5 million to $6 million higher than what we initially thought at the beginning of the year. But we also drove significantly higher top line revenue and -- both on the subscription side and we actually had very strong obviously, maintenance revenue. So, that's why we -- those two areas, we were over guidance, we were over guidance on also total revenue. So, that drove basically, the $5 million to $6 million overperformance, which was not only sales commissions, but also the Company's corporate bonus.
Operator: We'll take our next question from Nehal Chokshi with Northland Capital Markets.
Nehal Chokshi: Congrats on the solid results, especially the free cash flow and the free cash flow guidance, especially in the context of the $10 million incremental CapEx you're guiding, that's really impressive. Congratulations. So, for calendar year '22, you've given a maintenance and subscription growth of 17%. Can you parse that out in terms of what are your expectations for maintenance versus subscription in terms of those year-over-year growth rates?
Ken Gayron: So, we guide on the combination of subscription and maintenance. And as you're absolutely correct, the midpoint is 17% growth. We do -- I can just tell you directionally, we do expect our maintenance revenue to come down over next year as we move more of our customer base to subscription. I think directionally, you can look at maintenance revenue coming down probably in the $5 million to $7 million area year-on-year. So that said, the growth of the business is all going to be in the subscription business. We have obviously tremendous momentum on the enterprise subscription, the MediaCentral. We've got solid growth on our creative tools and then you layer in the three new products that Jeff mentioned, graphics, service and obviously, the NEXIS product, that will contribute additional revenue growth to the subscription business. So, those three areas, we feel very good about driving continued growth in our subscription revenue. And as I said before, we're tracking slightly ahead in certain areas in our long-term model and the subscription business is one of them.
Nehal Chokshi: So, I'm actually kind of surprised that you expect the maintenance to come down given that you saw improving maintenance renewal rates here, can you just review why did you see the improvement in maintenance renewal rates? And it sounds like you're not expecting further improvements here?
Ken Gayron: No, I mean, our team has done a tremendous job in executing in terms of the renewals of, I would say, product revenue that's under maintenance, that's integrated solutions. The team has done a great job. We're back to levels that we had pre-COVID. We're actually seeing even some improvement over that, given the execution of the team. That said, there is some software maintenance that will obviously come off our revenue streams as those customers move to subscription models. That's the reason why we think that there'll be a slight decline in the maintenance revenue over time and that's what we modeled in our long-term model. So, that's what we expect at this point. So, I'm guiding you that the subscription business, the subscription revenue is going to be the key growth driver for that subscription and maintenance revenue stream.
Nehal Chokshi: And then I love free cash flow, a very impressive rate of free cash flow return, almost 50% of the free cash flow generation. What are your thoughts on what is the rate of free cash flow churn? And I realize that's partially dependent upon the stock price. So, let's make a plain assumption that Avid continues to trade at just 22x EV and NTM free cash flow or basically, it's $30 per share price here that you have right now?
Ken Gayron: Yes. So, I would say in terms of capital allocation, first, we have a tremendous Board that works with Jeff and I and the rest of the management team on capital allocation. We are going to be looking at opportunities to return the best value to shareholders, whether it be through strategic M&A or share repurchases. We're going to be evaluating both. Obviously, you mentioned 50% of the free cash flow, which was last year's free cash went to share repurchases. This coming year, I can't give you a solid number because things could change during the year, but we are going to be looking at both M&A and share repurchases. And at these price levels, it's an attractive ROI given the confidence we have in our business and where we expect those returns to be.
Operator: We'll take our next question from Samad Samana with Jefferies.
Samad Samana: So maybe first, I'll kind of ask a follow-up on the guidance. Ken, I know for the first quarter, you guys gave subscription maintenance as well, but just the seasonality has bounced around a little bit for subscription in the past years from 4Q to 1Q. Just any dynamics we need to know about as we think about the nice sequential uptick from 3Q to 4Q and how we should consider that in terms of the guidance from 4Q to 1Q from a seasonal standpoint on subscription?
Ken Gayron: Yes, so great question. Thank you, Nehal. We obviously had very, very good performance in the fourth quarter. Like we said, around the calendar year fourth quarter tends to be our strongest quarter. First quarter will also be a strong quarter. And then typically, Q2 and Q3 are weaker quarters, that's generally because of the way that conversion rates happens from maintenance to subscription. So, we provided guidance for Q1 on subscription and maintenance revenue of $60 million to $64 million. I think that implies very good growth year-over-year in our subscription business. And at this point, we feel good about the outlook in terms of our business. So Samad, does that help answer your question?
Samad Samana: Yes, definitely, definitely. And then I guess maybe just a longer-term or bigger picture question. As I think about the newer products that Jeff called out, I'm assuming those are probably baked into the long-term outlook at the Analyst Day or at least we're in the back of your guys' minds, but I don't want to make that assumption and be wrong. So, were those kind of factored in and already on the road map? Should we see them as incremental? How should we see that fitting into kind of the progress the Company has made. And to your point, tracking ahead of maybe some of the targets towards that long-term outlook?
Ken Gayron: So, we're tracking slightly ahead. I would say that we had innovation as part of the road map in terms of a long-term model, obviously, in terms of R&D spend and new products being introduced. And this, I think, will keep us ahead of that long-term model. I would say that these new products are exciting and these are things that we're that we're going to -- we're happy to deliver this coming year and as part of our road map. So, they were -- there was an assumption of new product introductions in the long-term model.
Samad Samana: And just one last one, if I could squeeze one in quickly. Ken, when I think about the gross margins with maintenance maybe coming down a little bit, with subscription having some newer products in the mix, maybe just how should we think about that software and is subscription and maintenance gross margin trending maybe with those puts and takes?
Ken Gayron: No, I would say that the maintenance and subscription margins, subscription margin is actually slightly higher than maintenance and we're getting nice uplift. So, I would say that the software margins should continue to be strong and our gross margin should continue to move up like we have done historically. So, we believe that the transition to more of the subscription business is going to continue to add to margins and profitability, which -- in cash flow as well and provide us a lot of options as we move forward.
Operator: We'll take our next question from Jack Vander Aarde with Maxim Group.
Jack Vander Aarde: Congrats on the solid results. Strong outlook. Great quarter. I'll start here with just a couple of housekeeping ones. With the new official segmentation, just to be clear, I don't think it does, but just does this change any historical revenue data or any change to your non-GAAP metric calculations historically and looking forward?
Ken Gayron: No. No change to any historical numbers. No change to any revenue numbers. What we're doing on the 10-K is we wanted just to break out our subscription business, our maintenance business more clearly for investors versus having it be product and services. And so that's kind of the main thing. And then we also had our integrated solutions in other, which then has our perpetual subscription revenue, our integrated solutions and our PS business in that area.
Jack Vander Aarde: And then another housekeeping item. On subscription --.
Ken Gayron: And also, hey Jack, just on one -- just Page 22 of the appendix kind of maps from what was in historical 10-Ks in 2020, call it, the new version for 2021. We just think that this is more consistent with software and SaaS companies. This presentation we wanted to make sure that the 10-K was being adapted to how we speak about the business on earnings calls.
Jack Vander Aarde: For sure. That makes sense. And then if I just shift to another housekeeping question, subscription side product. I think on Slide 12, you provided this bar chart here. I think you used to provide Pro Tools, Media Composer and Sibelius equipment growth rates. I don't think you did this time. if there's anything to read in between the weeds there. Just did you or can you provide that? Or if you're not, is that kind of reasonable to assume going forward, you won't provide that in for that?
Ken Gayron: Yes. I would say, hey, they all remain healthy. They're all over 20-ish percent. I think you can see the charts there. But we've had good performance. And as we all talked about, we expect solid performance going forward in our creative tools business.
Jack Vander Aarde: And then it's good to see the enterprise subscribers of the MediaCentral Flex subscriptions tick-up, I guess, up over 4,000, which was nice pickup from last quarter. If I do a rough calculation, it looks like the ASP did tick up quite a bit as well sequentially. It was up slightly year-over-year, I think. Is it fair to assume the enterprise subscriptions are driving the majority of that ASP increase? Or is there some nuance involved with this mix shift and annual paid upfront subscriptions versus monthly? If you can just provide color there.
Ken Gayron: Yes. The bulk of it is the mix shift towards really the enterprise businesses. Enterprise has a significant multiple in terms of price per seat that's higher than the basic creative tool. So, that's the majority of it. And we have also solid performance in price per seat of our creative tools as well. But it's really the move to enterprise. And we expect that to continue given the large opportunity we have on the enterprise business and especially with some of these new product introductions that Jeff mentioned in his comments. So, you should expect to see nice improvement in price per seat ARPU as we move forward.
Jack Vander Aarde: And then just one more question for Jeff. Wondering if you could provide some more color on the NBC Sports transition to a subscription model? And what kind of led to their decision to do that? And then how does that kind of impact if there is any major impacts to number of subscribers and financials for the first quarter of '22.
Jeff Rosica: That was a Q4 -- so that was a Q4 deal with NBC. So look, the reason NBC, I can't speak for them completely, but I think they, like many customers are going moving to this model because there's a lot more value that we bring to them through the subscription model and they get a lot more -- -- what we do as a part of those models, I think we've talked about in previous calls, is that we create a much more valuable offering for the enterprise customer. It gives them more flexibility. It gives them more capability. It is generally a higher wallet share and/or higher uplift. That's why Ken talks a lot about the average uplift that we get from these customers. I won't speak specifically the NBC situation. But generally, when you look at the overall picture, we're getting a pretty good uplift. But it's really about value that we offer in those models. And I think a lot of enterprise customers are wanting to move to a more OpEx based and a more flexible model going forward. And so this gives them a lot of optionality that they didn't have in the traditional license per device kind of model.
Operator: We'll take our next question from Steven Frankel with Colliers.
Steven Frankel: Jeff, I wonder if you might give us some insight on some of the LTAs you signed in Q4 and what that pipeline looks like in the first half of 2022?
Jeff Rosica: So, we don't give specifics on the LTAs until the customers allow us to do so because a lot of this is for competitive reasons. They don't necessarily want their competitors to know what they're doing. But I would say that the trend we saw in Q4, as you can see in the numbers, it was very -- we did very well. I think when you think about the enterprise customers, we continue to see a really strong performance in what we call the enterprise ELA or software ELAs. These are subscription agreements for the enterprise customer. We continue to see a very strong uptake in Q4 for the same reasons we've talked about in Q3 and Q2. And as Ken said, I think we both said in our remarks is that we're still less than 10% of our installed base that we've converted from a maintenance, but we're also winning new customers with these offerings. So, it's both new and existing customers. So, I think we're continuing to see a very strong trend, I would say, that we've seen previously. As far as the funnel, we see a very good funnel. Obviously, being only 10% into the enterprise customer base. We've got 90%-ish ahead of us. And so that gives us a lot of opportunity to mine our current customer base to move to subscription. What we've seen, Steve, is that the customers really do like the value that we bring in those models and the customers are really embracing those models pretty strongly. So -- and as we've said before and I'll say again, we -- in 2021, we far outperformed our own internal expectations on enterprise subscription. So, we saw great performance in that regard. We don't see that stopping. When you look across the next couple of three years, we think we'll see that trend. But I think the other thing we are seeing is that for new customers, it's a very attractive competitive offering that we do in our subscription enterprise, which has been a real great tool for us, also, win new logos, new accounts.
Steven Frankel: And you have been saying in the last couple of quarters that the Q4 maintenance renewals is really the opportunity to move those customers over. Should we expect the same kind of seasonality in '22 with a big bolus of these conversions happening in Q4? Or do you think you can provide incentives to get people to move over early?
Jeff Rosica: No, I think both. Obviously, because there's a lot of Q4 and there's a pretty good number of Q1. Q1 is not as big as Q4. But because at the maintenance real time, it's a great time for our sales team to have that discussion with the customer. But one thing we did learn in 2021 is that there is opportunities all year long. And so they have found a lot of ways to convert customers within the year. And we've got tools that the sales team has to, I should say, commercial team, the whole team to convert customers mid-contract. So, we do have ways to convert people and upsell them to the contract without waiting until the contract expires. And again, it's a great opportunity when contracts expire to have that discussion or when renewal time comes. But our team is engaging with customers irrespective of when their contract renews. And that's something we learned about and it seems to become very effective at that in 2021.
Steven Frankel: And then on the supply chain, do you feel like you're positioned well enough to get the components you need to meet that integrated systems demand in '22? Or is that a point of stress in the model?
Jeff Rosica: Well, I wouldn't necessarily say stress. I mean it's -- I would say the supply chain situation for us does probably contain a bit the upside. It does control the upside a bit and what's possible from an upside perspective. As Ken said, we've modeled our expectations of the supply chain impacts in our guidance for the year. And so we have modeled that adequately into there. We've done -- our team has done a great job mitigating through Q4. I think they did -- they impressed me with what they could do during Q4 because the challenges were quite severe in the quarter, and as I've seen a lot of our competitors have paid some very difficult situations, but our team was able to navigate it quite well. I think going forward, it is going to put a governor on our upside potential as a business. We're very well positioned across it. We have challenges we have to deal with. Our teams are working day and night to deal with those challenges. But again, I think our teams shown to be pretty nimble and be able to adapt to things pretty well. Again, that said, we've got to work through it as we go through the year, but we have modeled that our expectations into our guidance.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back to Jeff Rosica for any additional or closing remarks.
Jeff Rosica: Thanks, operator. So, let me leave you with this. As we begin 2022, we do continue to see strength across the end markets of our solutions. We will continue to make selective investments in new products and innovation to enable Avid to continue delivering the industry-leading solutions that our customers depend on and to achieve our company's strategy as well as our long-term growth and profitability targets. Thank you again for your participation and your questions. Have a great evening. Goodbye for now.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.